Operator: Welcome to the Wynn Resorts Fourth Quarter 2025 Earnings Call. [Operator Instructions] This call is being recorded. If you have any objections, you may disconnect at this time. I will now turn the line over to Julie Cameron-Doe, Chief Financial Officer. Please go ahead.
Julie Cameron-Doe: Thank you, operator, and good afternoon, everyone. On the call with me today are Craig Billings and Brian Gullbrants in Las Vegas. Also on the line are Jenny Holaday, Linda Chen and Frederic Luvisutto. Please note that we've published a presentation to provide more color on the company and recent performance ahead of this call. You can find the presentation on our Investor Relations website. I want to remind you that we may make forward-looking statements under safe harbor federal securities laws, and those statements may or may not come true. I will now turn the call over to Craig Billings.
Craig Billings: Good afternoon. And as always, thank you for joining us. I'd like to start today's call by taking a step back and taking a broader multiyear view of our business and talk about how the company is positioned relative to some of the broader forces shaping the world and our target customer base. We are now a little more than a year out from a meaningful milestone, the opening of Wynn Al Marjan Islands. This development is significant for many reasons, but over the long term, its importance as a step forward in our geographic diversification stands out. Especially in the context of an increasingly multipolar world. Recent actions in geopolitics, currencies and metals reinforce our view that multipolarity is not a transient trend. With it comes meaningful shifts in historical patterns of travel, trade, technology diffusion and capital flows. Increasingly, those patterns are coalescing around a small number of global hubs, notably the U.S., China and portions of the Middle East. We see this in financial markets, and we see it in the travel patterns of our international customers. At the same time, we are approaching a period of significant change driven by technology and artificial intelligence. Anticipation of those changes is already fueling substantial business formation and wealth creation centered again in the U.S., China and portions of the Middle East. That expanding wealth creation will continue to drive demand for what Wynn Resorts has always delivered, exceptional product and service for the world's most discerning customers. This brings me to 2 related capabilities that position us well for the long term. Our relentless focus on our core customer segment and our proven ability to develop and operate world-class assets in diverse geographies, thereby allowing us to meet the affluent customer wherever they choose to be. With the opening of Wynn Al Marjan, we are introducing a significant asset into a new and dynamic market. More broadly, we're moving toward a portfolio where we expect over 55% of our revenues will be generated in non-U.S. dollar-denominated markets from assets we developed and operate, each meticulously designed around the most valuable consumers in these key markets. So as we begin 2026, Wynn Resorts is on track to become one of the most globally diversified companies in our industry. That diversification, combined with our brand, customer focus and proven operating capabilities leaves us exceptionally well positioned for the longer term. Now turning to the fourth quarter. Wynn Las Vegas delivered another robust quarter with EBITDA of $241 million. It's important to note that the comparable quarter of 2024 benefited from nearly 31% hold. And thus, when normalizing both periods, EBITDA in Q4 2025 was just above the prior year comp. Demand for our product in Las Vegas remained healthy across the board with drop, handle and ADR all up year-on-year. While RevPAR was slightly below last year, the overall results reflect our ability to balance stronger ADRs with modestly lower occupancy in order to optimize the performance of the building. We remain well positioned to do this, given our strong competitive positioning and our customer base. More recently, performance in the first quarter has been encouraging with casino volumes and RevPAR both holding up well. Looking further out, we feel good about the business in 2026. The visibility that we have into forward demand is largely through our group and convention business, which continues to look strong on pace to grow both room nights and rate relative to 2025. As I mentioned last quarter, we will begin the Encore Tower remodel in the second quarter and expect to lose about 80,000 room nights in 2026. We expect to recapture some of that impact in rate, but the remodel will nonetheless present a slight headwind for the year. Turning to Boston. Encore generated $57 million of EBITDAR during the quarter with lower-than-normal table hold masking what was otherwise strong fundamental performance with RevPAR table drop and slot handle all up year-on-year, along with tightly controlled OpEx. More recently, demand in Boston has remained healthy into February, aside from specific days impacted by poor weather. Shifting to Macau. This quarter was all about significant volume growth, but unusually low hold in both VIP and mass. The team delivered $271 million in EBITDA with low VIP hold costing us a little over $16 million in EBITDA. Volumes in the quarter were strong with VIP turnover up 48% and mass drop up 18%, both year-on-year. While we do not quantify the impact of unusual mass hold, mass hold in the quarter was below our expectations, and Las Vegas, Macau also held higher in the prior year quarter, skewing year-over-year comparability. Momentum in Macau has persisted into the first quarter with volumes in January just above those we saw in Q4. We're also very excited about the upcoming opening of the new Chairman's Club floor at Wynn Palace, a 63,000 square foot addition dedicated to our highest value customers, featuring gaming alongside a suite of bespoke amenities. We expect to be welcoming guests into the space for Chinese New Year. Looking ahead to the rest of 2026, following sustained double-digit market-wide GGR growth in the back half of 2025, we remain optimistic about the future of Macau. Premium segment continues to lead the market, and that is a segment where we are always well positioned. The expansion of the Chairman's Club at Wynn Palace, along with the refresh of the Wynn Tower rooms at Wynn Macau to further strengthen our ability to capture this demand in 2026 and beyond. Turning to Wynn Al Marjan Island. I'd like to thank those of you who made the trip to join us for our Investor Day in the UAE in December. We hope the visit provided you with a clearer sense of both the scale of the opportunity and the broader dynamics of the region. During the fourth quarter, we reached a significant construction milestone when we topped out the tower at the 70th floor. Construction continues to progress rapidly with interior fit-out underway in all guest rooms and our iconic exterior glass about 80% complete. The opening of Wynn Al Marjan and the free cash flow inflection that it will bring reinforces our confidence that our best days lie ahead. Before turning the call over to Julie, I'd like to address one final item. As we announced a few weeks ago, Julie will be retiring before the next earnings call. On behalf of the company, I would like to acknowledge her accomplishments as CFO and thank her for her leadership and significant contributions over the past 4 years. Over to you, Julie.
Julie Cameron-Doe: Thank you, Craig. It's been such an honor to serve as CFO here at Wynn. We're known for our beautiful buildings and 5-star service, but what sets this company apart from all the others are its people at all levels and across the globe. It's extremely rare to work somewhere where everyone is bringing their A-game every day but that's exactly how it is at Wynn. It's incredibly special. So before I get into the quarter, I'd like to thank each and every one of our employees in Vegas, Boston, Macau, Marjan and London for all you do to make Wynn the best in the business. Turning to the numbers. At Wynn Las Vegas, we generated $240.8 million in adjusted property EBITDA on $688.1 million of operating revenue during the quarter, delivering an EBITDA margin of 35%. Hold positively impacted EBITDA in the quarter by just over $8 million. OpEx, excluding gaming tax per day, was $4.6 million in the quarter, up 4.1% compared to the prior year, largely due to incremental costs related to payroll, higher repair costs and bad debt expense. Turning to Boston. We generated adjusted property EBITDA of $57 million on revenue of $210.2 million with an EBITDA margin of 27.1%. As Craig mentioned, low hold negatively impacted the quarter's results, while casino volumes and RevPAR were strong. Slot revenues were strong, up over 2%, setting a new record for Boston. We maintained our discipline on the cost side with OpEx per day of $1.18 million, up less than 1% compared to Q4 2024 despite continued labor cost pressures in the market. The Boston team has continued to do a great job of mitigating union-related payroll increases with cost efficiencies in areas of the business that do not impact the guest experience. Our Macau operations delivered adjusted property EBITDA of $270.9 million in the quarter on $967.7 million of operating revenue, resulting in an EBITDA margin of 28%. Lower-than-normal VIP hold impacted EBITDA by just over $16 million in the quarter. And though we do not report EBITDA normalized for mass hold, our mass hold in Q4 was about 250 basis points lower than the prior year quarter, impacting our overall EBITDA margin. OpEx, excluding gaming tax is approximately $2.85 million per day in Q4, with the increase from Q4 2024, driven primarily by a full quarter of Gourmet Pavilion related costs, normal cost of living expenses and variable costs driven by healthy business volumes. In terms of CapEx in Macau, back in Q2, we initiated 2 projects, as Craig mentioned, an expansion of the Chairman's Club gaming area at Wynn Palace and a refresh of our Wynn Tower rooms at Wynn Macau. The impact of those projects on CapEx continues into 2026. For the full year 2026, we expect to spend a total of $400 million to $450 million with several concession-related projects awaiting government approval. Moving on to the balance sheet. Our liquidity position remains very strong with global cash and revolver availability of $4.7 billion as of December 31. This was comprised of $2.9 billion of total cash and available liquidity in Macau and $1.8 billion in the U.S. The combination of strong performance in each of our markets globally with our properties generating over $2.2 billion of adjusted property EBITDA, together with our robust cash position creates a very healthy consolidated net leverage ratio of just over 4.4x. Our strong free cash flow and liquidity profile also allow us to continue returning capital to shareholders. To that end, the Wynn Resorts Board has approved a quarterly cash dividend of $0.25 per share, payable on March 4, 2026, to stockholders of record as of February 23. Our recurring dividend highlights our focus on and continued commitment to prudently returning capital to shareholders. In terms of CapEx, we spent approximately $171.2 million in the quarter primarily related to the Fairway Villa renovations, Zero Bond and Sartiano's in Las Vegas, the new Chairman floor at Wynn Palace, the hotel tower refurbishment at Wynn Macau and normal course maintenance across the business. In addition to that figure, we contributed $79.2 million of equity to the Wynn Al Marjan Island project during the quarter, bringing our total equity contribution to date to $914.2 million. We also continue to draw on the Marjan construction loan with a drawn amount to date of $769.6 million. We estimate our remaining share of the required equity, including the new Janu project is approximately $450 million to $550 million. With that, we will now open up the call to Q&A.
Operator: [Operator Instructions] Our first question comes from Dan Politzer with JPMorgan.
Daniel Politzer: Julie, congratulations on the retirement, and thanks for all the help of these past few years. First question on Vegas. Some of your peers have been fairly upbeat on the path for higher-end luxury properties to grow in 2026. And I recognize, Craig, you mentioned a limited booking window and visibility outside of group and convention as well as the Encore Tower disruption. But I guess as we think about those puts and takes and your level of confidence in this high-end customer, the strength retaining or maintaining here, how do you think about the path to growing in Vegas in 2026?
Craig Billings: Sure. It's kind of funny because I feel like we've spent the past few years trying to convince people that we weren't going to decelerate. And we've continued to hold up very, very well. If you look at the drivers in '26, I noted the headwind of the rooms that will be out of service and certainly, I expect that will impact us. Again, we'll try to pick up some of that in rate. But the group business is doing really, really well which, of course, in turn, allows us to yield in the other segments. And so as long as the group pace plays out as we expect it will, strongly expect it will, we feel good about our ability to continue to price rooms. Gaming volumes, you can see gaming volumes in the quarter. And that gives you a sense for how tables and slots are holding up. So we feel good about our ability to perform really, really well in 2026. I mean, by any kind of historical standards, Vegas -- Wynn Las Vegas is absolutely crushing it. So we don't see anything at the moment that would change our view on our ability to continue to do so. Brian, would you add anything to that?
Brian Gullbrants: I'd say so far, our key business indicators are all positive. But as mentioned, the out-of-border rooms will certainly be a challenge in the latter half of the year.
Daniel Politzer: Got it. That makes sense. And then just in terms of the OpEx, Julie, I think you touched on Macau taking a little bit higher. In Vegas, I think there's been a little bit of an increase there, too. Is there any kind of parameters to which you think about the OpEx growth in Vegas as well as Macau for 2026?
Julie Cameron-Doe: Yes. I mean I'll start with Vegas and move on to Macau. So I mean, the team in Vegas remains incredibly disciplined on OpEx, and we did raise our outlook last quarter to $4.3 million to $4.5 million outside of major event periods. We ended up slightly above that range at $4.6 million in Q4. It's a very heavy event period with Formula One, Concour, New Year's and a busy convention calendar. We also continue to see normal wage inflation in the union and nonunion areas of the business. But otherwise, we're managing OpEx very tightly. And in terms of the outlook, we're not changing our expectation for OpEx to be in that $4.3 million to $4.5 million per day range outside of major event period. If I move on to Macau. Macau obviously, as we said on the call, we've got a full quarter in the -- of the Gourmet Pavilion. And we've had some -- obviously, some cost of living increases going on in there as well. We once again saw the variable impact of higher business volumes in the quarter because we had very strong volumes in the quarter. We raised our OpEx per day expectations last quarter to be in the range of $2.7 million to $2.9 million, and we're aligned with that number.
Operator: Our next caller is Lizzie Dove with Goldman Sachs.
Elizabeth Dove: I'll echo my congratulations and thanks to you, Julie. Really appreciate all the help and wish you the best going forward. Sticking with Vegas, first of all, I guess, similarly kind of on the OpEx side of things. Just thinking about the margins. I think the margins in Vegas are obviously up a lot versus 2019, that you've just seen such incredible strength there and there's been a bit of a give back over the last couple of years, maybe a bit of a return to normal, whatever you want to call it. But just thinking about really over the longer term, not just '26, but how you think about just margin expansion, whether that's possible at some point in Vegas or if there's still a bit of a kind of normalization to go there?
Craig Billings: Sure. We've always been pretty explicit about the fact that we don't really manage to margin per se, right? What we do is try to absolutely top tick revenue, which is about taking market share in gaming and driving ADRs, pushing the right customers into the building for retail tenants and then being absolutely judicious about managing OpEx and we're doing both of those things. So we don't really give margin guidance, and we don't look forward in terms of margin. But philosophically, that's really how we approach it. And I think you saw that this quarter.
Elizabeth Dove: Got it. And then just on the Encore renovation, it's helpful to call that out. And on my math, at least 80,000 room nights could be maybe $50 million of EBITDA impact, assuming that you don't get any recapturing on the rate, which you did mention. Anything that you could share there on just how you're thinking about it, particularly in the second half once you kind of fully start the renovations and also typical kind of IRR on the longer-term basis of projects like this?
Craig Billings: That sounds a little bit high to me. But the way to think about it is we stage and stagger the renovations as we're taking out floors such that they occur in the lowest demand period. So that's one of the ways that we mitigate the impact of those renovations, thereby, allowing us to pick up the highest rate periods. And then I think as you pointed out, we will -- we expect that we will pick up some of that in rate. Beyond that, it kind of is what it is. We are -- we need to do the renovation and it's important to the building and the brand. Brian, what would you add?
Brian Gullbrants: We're starting in mid-May. So as far as impact, it starts in mid-May and will consume about 6 floors as we go through the building. But it's a 12-month process. So this is going to linger into '27 as well.
Craig Billings: Yes, that's a good point as well. It's really split between 2 years.
Operator: Our next caller is Shaun Kelley with Bank of America.
Shaun Kelley: First of all, Julie, thanks for all of your time and attention and of course, the hospitality on the UAE trip. It was spectacular. So you'll be missed. And if I could, I wanted -- 2 questions on Macau. Maybe first, Craig, if we could lead off with a little bit of color on -- there's concerns both about promotions in the market and competition. And then specifically, we've got some questions around just mix shift between VIP and premium mass, I know you kind of specialize in sort of both these segments. So just kind of wanted your thought on the overall environment. And then again, are you sort of notable shifts between business lines on -- like that may be impacting or changing margins in that segment?
Craig Billings: Sure. Thanks, Shaun. Yes, both of your questions kind of lead to margin. I guess, first of all, with respect to margins overall, margins in the quarter were really affected by 3 things: a significant jump in VIP volumes but low hold, unusually low hold in mass, which we mentioned a couple of times in the prepared remarks, and remember, we generally accrue reinvestment on theoretical, not actual. So that obviously suppresses margins. And then the incremental OpEx that was previously discussed from call adjustments and a full quarter of the Gourmet Pavilion. There wasn't really a -- beyond everything that I mentioned, it wasn't really a fundamental shift in the business. As you know, VIP can be incredibly lumpy. It's just the nature of the business. I wouldn't be proclaiming a market-wide shift or at least a Wynn shift in the sources of business. With respect to reinvestment, and again, as we've discussed on prior calls, look, it's very short booking window in Macau. And so it's daily hand-to-hand combat, as I've said before, for customers. And we'll adjust reinvestment up or down in any given period to make sure that we achieve our business goals. I can't say that our quarter was unusually impacted by a significant jump in reinvestment.
Shaun Kelley: Very clear. And then as my follow-up, you mentioned in the prepared remarks as well, some of the excitement around the new Chairman's Club space. So just wondering could you give us a little bit more color and detail there? I think timing sounded like opened by Chinese New Year, but you talked about the kind of scope and scale there, what you've been investing and potential impacts for both 1Q and maybe the full year.
Craig Billings: Yes, sure. Thank you for asking about it. We are waiting on, I think, one final government approval, maybe we got it yesterday, actually. So we do expect we'll be open by Chinese New Year. This is a significant -- we did it in record time. It's amazing the development team was able to do it. But this is a significant expansion of the Chairman's Club. So the Chairman's Club, for those of you that aren't aware, is an area in -- within Wynn Palace that is the space that's dedicated to our highest value customers. This expansion actually triples the size of the Chairman's Club to nearly 100,000 square feet. The space includes gaming areas, along with a whole bunch of amenities, including several boutique food and beverage outlets, entertainment areas, a cigar lounge, a bar. We -- honestly, we believe it will set a new standard for premium gaming space in Macau, in an area that already feels very, very comfortable to our best customers. So we feel great about it opening up. The impact on Q1, we'll see. We're opening it into Chinese New Year. And obviously, the rest of the year, we don't provide any forward guidance.
Julie Cameron-Doe: Just confirming that we have the approval for opening today.
Craig Billings: Thank you. So we're good to go. We will be -- you can remove -- you can strike the word expect from the prepared remarks.
Operator: Our next caller is Robin Farley with UBS. Robin? We'll go to the next caller, John DeCree with CBRE.
John DeCree: I'll pile on to the congratulations and gratitude. It's been a pleasure working with you. Good luck on what's next for you. Maybe to stick with Las Vegas, I kind of ask the kind of consumer question in a couple of different ways. But with lower occupancy, obviously, rate was up, but I think it's impressive gaming volumes are up. We saw higher food and beverage revenue. And so, Craig, I don't know if you could talk about are you getting more foot traffic in the door from other properties not staying at Wynn? Or is it really just a higher price? Anything you could say about gaming volumes and F&B revenues being up despite a little bit of lower occupancy in the hotel?
Craig Billings: Yes. Thank you. First, driving rate over occupancy is an incredibly intentional strategy. It's not a strategy that we're doing because it's being hoisted upon us, right? When we drive rate over occupancy, we can change our restaurant opening hours. We can staff the building differently, and we can really push EBITDA. On the gaming volume point, it is definitely not the mass customer that's wandering in the door and driving our incremental gaming volumes. We set out, 3 years ago now and changed a tremendous number of things in the business. From our hosting strategies to our underlying technology to our -- to aspects of our rewards program and our reinvestment, and that has resulted in a pretty significant shift in market share in our favor. And this was another quarter where you saw the benefit of that. Brian, anything you would add?
Brian Gullbrants: I'd say the ops team continues to crush it on optimizing RevPAR. Focused on getting -- keeping the restaurants full and still tightly controlling OpEx. So all of those are key in our future.
Operator: Our next caller is Brandt Montour with Barclays.
Brandt Montour: Can you guys -- I don't think you guys have talked about this yet, but the sort of the convention calendar for you guys for the year by quarter. Any sort of what should we think about in terms of year-over-year comparisons and what stands out to you when you look out over the year in terms of group?
Craig Billings: Brian, do you want to take that?
Brian Gullbrants: Sure. I think if you look at some of the citywides and it doesn't impact us as much, but there's some significant change this year over last. Q1 year seems to be higher than last year. Q2, a little bit more challenged because the beginning of April, you've got pass over Easter. And then we layer in pretty nicely. There's a couple of holes in the summer. We have plenty of prospects. The team is doing a great job in filling those holes. And we're pacing nicely right now. So we'll see how it goes.
Brandt Montour: Okay. Great. And just a follow-up on Macau. You guys already talked about margins and sort of the effect of the VIP mix. But when we look at just the VIP volumes, which are look incredibly strong and you're not the only ones that have seen this. Can you just help us understand what's driving that? Is there more -- are you guys doing more direct lending as part of that rolling ship business? What are sort of the supply and demand things to keep in mind when we're trying to understand those trends?
Craig Billings: Thank you. We definitely have not changed any component of how we think about credit. So we're not driving volumes on the back of incremental credit. As you know, in VIP a very small number of players can drive a very large amount of turnover. So we have been making very specific investments in our VIP hosting teams and in our VIP player development, and we saw the benefit of that this quarter.
Operator: Our next caller is David Katz with Jefferies.
David Katz: Julie, congrats and all the best. I wanted to just get an updated comment on Las Vegas broadly. And how do we think about the opportunity for your assets to continue to grow, either top line or bottom line? Is it -- and I understand that the refurbs are necessary and helpful. But how do we sort of think about your presence there growing longer term?
Craig Billings: Yes. Look, the way I think about it is -- Vegas, if you look at Vegas over the course of the past --really since the emergence from COVID, Vegas has become a more multifaceted destination than it's ever been. And you know and we've talked about this before, Vegas has a long history of tacking on incremental sources of demand. The raters are an example of that. The sphere is an example of that. And really, the business is more diversified, the total business here in Vegas is more diversified than it's ever been. That next maturation of the market tends to appeal to customers that are in our customer segment. And during that same period, I would humbly say that we have continued to distance ourselves in the market and provide the best option for those high-value customers. You've seen those high-value customers hold up even as folks, perhaps folks who are in a different income strata have not. And I think that we have been a real beneficiary of that. So from an organic same-store sales basis, I feel very good about our business and our position in Vegas. I mean, look at the EBITDA numbers and the return on invested capital that we're delivering out of this building. It's tremendous. Then beyond that, of course, we have a pretty significant land bank here. You have to choose the right time and place or right time rather to flex that land bank. If you look at the last 2 openings in the market, they have had to be share takers because the market visitation do not change with those 2 openings. But over the very longer term, particularly as again, as I was saying in my prepared remarks, you have incremental wealth creation from everything that's going on in technology and AI. We think the demand for our products will allow us to take advantage of that expansion. It's just a question of when. So again, I don't really think, well candidly. I don't really think will 2026 be greater than 2025. I think where will we be in 2030 and 2032, and what will our business look like? And I feel very good about it.
Operator: Our next caller is Chad Beynon with Macquarie.
Chad Beynon: Julie, congrats on all your accomplishments as well. I wanted to ask unfortunately, maybe more of a near-term question, just around 2026. I know a lot of the lodging companies and event centers are talking about the World Cup impact. I know it's making its way through Boston for a couple of weeks and then obviously in Los Angeles and other cities where international customers could be here and maybe frequent your properties. I guess my question is, do you think there could be an impact or maybe a spark that we haven't seen from maybe some international customers coming back into the market and then frequenting your properties?
Craig Billings: Sure. It's a good question. In Boston, for sure, the direct impact there, I would expect would be on ADR. In Vegas, we have an entire strategy that we have developed to take advantage of the proximity of the World Cup. That's a very targeted strategy because we don't need kind of the mass volume to make their way here. And so certainly, we will take advantage of that and make sure that we are able to ghost on the event, if you will. Does it impact how we think about 2026? Maybe on the margin, but I don't think I'd be calling out -- calling it out as a specific driver of the year.
Chad Beynon: Okay. And then as it relates to AI, you talked about just the wealth effect that could improve your customers' wealth over the next couple of years and then drive business to your properties. But what about internally in terms of tech that you guys are using either in-house or with certain vendors to help whether it's search or content kind of product on the floor. Do you think we will see an improvement in '26 versus '25 that could either help on the revenue or margin side?
Craig Billings: Great question. How much time we have left on the call? Okay. So first of all, we're already seeing the effect of that wealth creation. We already have customers that are spending time with us that have had wealth created through everything that's going on with artificial intelligence. So this isn't something that I'm just kind of forecasting out of my head. I mean we can see it. And it's not -- and in the long run, I don't anticipate that we'll just be here. I anticipate that will be in Wynn Al Marjan Island where you have the UAE being extremely aggressive in terms of AI infrastructure and AI model development. And so I think that, that will benefit us there as well. And I think it will benefit us in Macau as a new generation of wealth is created in China. On the internal side, our approach to date, we worked under the presumption initially that anything that was focused on OpEx efficiency would be packaged up and sold to us because that's where everybody was going to head first. And that has kind of proven to be the case. I think with respect to that, and look, anybody who watches CNBC, particularly today, is going to tell you that there is a general feeling that we are finally at a tipping point with respect to the models. And I believe that to be true. And so I think from an OpEx efficiency perspective, you will start to see gains over the course of the next several years. What I think is underappreciated in the enterprise is the amount of plumbing that goes into how all the applications that we utilize, the databases that we utilize are connected. And so that plumbing doesn't change overnight, and so that takes time. But I'm certain that, that will happen. So if we weren't focused on the OpEx side, what were we focused on? We were focused really on customer delight. And so that really comes down to personalization where we've rolled out several things. I won't get into the details on this call for competitive reasons, but where we've rolled out several things that have had a meaningful impact, we believe, on retention. We focused on improving the underlying machine learning and modeling for our reinvestment. That's true here and in Macau. And that has certainly had an impact. I believe you can see that showing up in gaming volumes. So it's a little bit of everything. And then the last piece I would say, I think if you're watching the markets, you may have seen Tripadvisor was trading off heavily today citing the impact of what's called GEO, Generative Engine optimization on a business that is very SEO, Search Engine Optimization dependent. So we've been on that for probably about a year now, making sure that our discoverability and that's from a hotel sales perspective, primarily food and beverage as well, but mostly hotel sales, that our discoverability would be absolutely top-notch as GEO starts to take over SEO. So there's really -- honestly, there's hundred things that will ultimately come out of all of this. I'm not going to put us in a position where we're talking about impact on -- well, I'll never put us in a position where we're talking about impact on margins, but it certainly will show up.
Operator: Our next caller is Steven Wieczynski with Stifel.
Steven Wieczynski: Congrats, Julie. Hope you have a great retirement. Not sure if I missed this or not, Craig or Julie, but if we think about Macau margins in the fourth quarter on a more normalized basis, meaning hold normal VIP, mass OpEx is quasi-normalized. Based on our quick math, is it safe to say those margins would have been pretty close to the 31.5% margin that was posted in the fourth quarter of '24? Am I kind of thinking about that the right way?
Craig Billings: You're a little above where we would put them. We would probably put them somewhere around 30%.
Steven Wieczynski: Okay. And then I'm not sure how much you'll say, Craig, or not, given that we're kind of in the first quarter, but Chinese New Year, obviously starting up in the next couple of days, would you give any kind of high-level view on kind of where you guys are booked at this point? Or what do you think demand is going to look like?
Craig Billings: Yes, booking pace is good. We feel very good about where we are. And with the opening of Chairman's Club at Palace, we feel like we have something new in Chinese that will delight our best customers. So we're feeling good about Chinese New Year. We do and we called this out, I think, kind of ad nauseam now, but we do run into capacity constraints around these peak periods based on table count, that doesn't affect our best customers, obviously. But on the more base mass side, we do. But we feel great.
Operator: Our next caller is Trey Bowers with Wells Fargo.
Raymond Bowers: Great to see you on trip a couple of months ago. I guess I'll be the first to ask Al Marjan question. But as we progress through the year, could you guys just give us any kind of signpost to think about, be it even when the rooms will go on sale as we look towards just strength of the opening? And then a second part of that question would be, one question, I get is just it feels like the only hindrance in that market is supply constraint. And can you just give us a sense for when you look around the property how long it's going to take for that area to kind of be fully built out? And how necessary that is to hit some of the targets that you guys are looking for?
Craig Billings: Sure. The signpost along the way, we'll release them in press releases. I mean we put out construction updates every now and again, and then we update folks on this call. With respect to when rooms will go on sale, that's the subject of discussion right now. But if I had to spitball it at point, it would be late Q3, early Q4. You are correct that it would be great to have a bunch of incremental room capacity. We are not dependent on that incremental room capacity to meet our base case. I want to be very, very clear about that. What we said when we were in the UAE was that meeting the outperformance numbers or beyond would certainly require incremental hotel capacity. Those of you that were there saw that construction happening. So the construction is absolutely happening. I don't expect a material uptick in the room count prior to our opening. I mean we are about a year and a few months out at this point. But shortly thereafter, I would expect incremental rooms to come online. Our strategy to deal with that in the short run and ultimately, the long run is to have a very, very strong transportation program and effectively utilize adjacent cities as a source of day-to-day visitation. And so we're being very, very thoughtful on the transportation side. So just to reiterate, base case unaffected but we certainly would like incremental hotel rooms to come up and they are coming up.
Raymond Bowers: Great. And I guess just a quick follow-up just to ask about my town. We saw in some of the trade rags that maybe a hotel expansion here in Boston was back on track. I didn't see anything in the slide deck and referenced anything planned for Boston, but could just you guys walk through any expectations around anything you want to do in this market?
Craig Billings: Sure. Sure. Thank you for that. Yes, there was a bit of misreporting actually in a number of those articles. So let me clarify. We're not developing hotels on our balance sheet. Rather, we own some 16 acres of land adjacent to Encore, and we are contemplating providing a portion of that land under what is effectively a land lease. So to that end, we entered into an MOU with the City of Everett outlining certain things that we would each do to facilitate that development. And really, this is part of a broader vision for the neighborhood, including a potential rail stop and, of course, a possible major league soccer stadium very, very close to Encore Boston Harbor. So to be clear, we're not developing those hotels. We would be a land lease lessor. The hotels themselves would drive benefit to Encore Boston Harbor and we're -- we would be excited about that. But that's what we're up to.
Operator: Our next caller is Ben Chaiken with Mizuho.
Benjamin Chaiken: I just wanted to echo the previous comments. Maybe just a follow-up on UAE. Recognizing you've provided us with a high-level financial framework, can you give us your latest thoughts on the mix of F&B entertainment versus gaming? And then some of the swing factors as you see it today?
Craig Billings: Sure. I mean, we've outlined our expectations for the market in a base low and upside case. Beyond that, obviously, on the gaming side, the market is extremely supply constrained. We're kind of it for quite some time. I think we've said in the past, we expect that market to have many attributes that are consistent with Las Vegas, which is very, very strong non-gaming demand. So the balance there really is how we utilize our room base. Vegas, where the vast majority of our revenue is non-gaming. Macau, where the vast majority of our revenue is gaming, I wouldn't expect it to be at either of those polls, but it will really come down to the tension of how we utilize those rooms. So you'll see in the numbers that we provided, very healthy gaming revenues, representing the productivity of the casino and also the supply-constrained nature of the market, but you'll also see a healthy balance of non-gaming revenues reflecting substantial ADRs and a substantial willingness to spend in that market for food and beverage.
Operator: Our next caller is Steve Pizzella with Deutsche Bank.
Steven Pizzella: I also wanted to say congrats to Julie. Maybe just following up on Al Marjan, as we continue to get closer to the opening, can you share how your database continues to shape up and the efforts to build the pipeline to get the right people to the property when it opens?
Craig Billings: Sure. On the hosting side, we have -- we started building our hosting infrastructure, a year ago, a year and change ago when we started bringing on very senior folks with regional experience. So the kind of one-to-one relationship marketing has been well underway. And I would say that general awareness among high-value players regionally is extremely high. I mean we've been getting approached by people in pretty far-flung places asking when the property will be open. On the mass market side, we have begun primarily through digital, building a database and creating awareness. We are communicating with those folks regularly in anticipation of the opening. And I think that will be additive. I honestly -- so we're doing a lot, long story short to build the database. But the awareness among people who are both gaming customers and non-gaming customers in the market, the unaided awareness is actually quite high. So I don't want to be flippant about it and say, we don't need to build a database because we absolutely positively do. But we're feeling pretty good about people showing up the day we open the doors.
Julie Cameron-Doe: Operator, the next question will be the last.
Operator: Robin Farley with UBS.
Robin Farley: Great. Hopefully, you guys can hear me. I wanted to circle back to your comment about Macau and reinvestment. I know you said there wasn't a significant jump. And I think that was in your reinvestment spend. Can you talk a little bit more broadly about what you're seeing in the environment? Others are talking about how much more competitive it's gotten. Are you seeing that stabilize in terms of what others are doing even if your own reinvestment rate has not had a jump?
Craig Billings: Sure. I mean I won't specifically comment on others -- our perception of others reinvestment rates. I would say that there has been at least one operator in the market who has publicly stated that they are driving incremental reinvestment. I think you naturally get responses to that. I think you're really talking about a band market-wide. You're talking about a band of 200 basis points in reinvestment when you talk about reinvestment moving up and down. So as we have said before, I don't view the market as being in some all-out promotional war by any means. But like I said in my prepared or in a response actually to another question, it's a short booking window, and it's a competitive market, and that's the way it is. So we -- all I can really do is speak to what we do, and that is move reinvestment up, down, do what we need to do in order to drive EBITDA positive incremental visits. And lastly, as I mentioned on prior calls, we have a to the basis point day-by-day view of what our reinvestment is and so we are able to modulate it on the fly, far better than we ever have, which really relates to some human capital and technology improvements that we made several years ago so that we can really bring it up, bring it down, bring it up, bring it down and do whatever we need to do at any given moment.
Robin Farley: Okay. And then just a quick follow-up on Vegas. Craig, in your comments when you were sort of talking longer term about demand and growth in 2030 and all of that. You kind of wrapped it up by saying you were making the point that you think about growth longer term. But you made a comment about '26 maybe not being greater than 2025. And I didn't know if that was just like a theoretical making the point that you weren't focused near term? Or -- and I know you don't guide, but is the expectation given the room remodel disruption, it would be reasonable to think that EBITDA would be down year-over-year. Is that sort of a takeaway that we should have from that comment?
Craig Billings: My comment was purely theoretical. I'm simply pointing out that -- look, we don't -- this is true in Macau. This is true in Vegas, right? We don't control the market. We control our share of it. And so everything we do every day is designed to be a share taker, hold share and be a share taker. That manifests itself in 2 ways: gaming volumes and ADR. And by all measures, I think we've shown that we are very successful in that strategy. And so opining on '26 for us is actually a pining on the market. And I'm not going to opine on the market. In fact, you all spend a lot more time analyzing market level trends, quite frankly, than we do per se because we are thinking about how to deliver the absolute best product so that we can top tick our own EBITDA. So -- but my comment was purely designed to illustrate the fact that we're thinking about an arc that is 5 to 7 years out.
Julie Cameron-Doe: Well, thank you for joining the Wynn Resorts Q4 earnings call, and thank you for all the kind words. We appreciate your interest in the company, and the team looks forward to talking to you again next quarter.
Craig Billings: Thank you, everybody.
Operator: Thank you for participating on today's conference call. You may now disconnect. And have a nice rest of your day.